Operator: Good morning, ladies and gentlemen, and welcome to the Champion's Q4 and Year End Results of the Financial Year 2024 Conference Call. [Operator Instructions] This call is being recorded on Friday, May 31, 2024. I would now like to turn the conference over to Michael Marcotte. Please go ahead.
Michael Marcotte: Thank you, operator, and thank you, everyone, for joining us to discuss our Q4 results today. Before I turn it over to our team to discuss these results, I'd just like to go over a few elements, including where you can find this presentation that we'll be referring to, which is on our website at championiron.com, under the Investors Section in Events and Presentation. I'd also like to highlight that we'll be making forward-looking statements throughout this presentation. You can read more about these forward-looking statements, risks and assumptions, and our MD&A, which is also available on our website. I'd also like to remind people that we'll be referencing to Canadian dollars for all figures unless otherwise stated. Joining me on this call today is David Cataford, our CEO, who is going to be doing the formal presentation, and we also have our COO, Alexandre Belleau; and our CFO, Donald Tremblay; and our Executive Chairman, Michael O'Keeffe will also do closing remarks. With that, I'll turn over back to David, our CEO for the presentation.
David Cataford: Thanks, Michael. Thanks, everyone, for being here. So very happy to be able to discuss the fourth quarter of fiscal year 2024 that just completed our sixth year of operation here at Bloom Lake, and we'll be able to see that we've done quite a lot in the past six years. In terms of the highlights for the quarter, we produced about 3.3 million tons and sold about 3 million tons during the quarter. Cash cost of about CAD77 per ton and an EBITDA of -- roughly about CAD85 million. In terms of sustainability, I think the main highlight once again this quarter is the fact that no major environmental issues were reported at the site. So since the recommissioning in 2018, there's been no major environmental issues reported at the site. So the investments that were made have really paid off because we have a very sound site in terms of the environmental. If we turn to community governance and sustainability, one of the big highlights during the quarter is the five-year collective bargaining agreement that was signed with our unionized employees. The impact of that contract is roughly about CAD1 per ton on our operating cost. But realistically, we had some catch-up in terms of salaries when we compare with our neighbors, and we want to stay competitive in the talent war to get the best employees to allow us to deliver the results like we have in the past six years. We've also appointed Mr. Ronnie Beevor to the Board of Directors, which brings decades of valuable experience in the mining industry. In terms of ESG disclosure, while you've seen that we've now published our 2023 Sustainability Report, quite a few highlights that we can be very proud of within the Company. One, we maintained our positioning as leading First Nations employer in the region, and we continue to work very closely with our First Nations partners to make sure that we can operate in a sustainable way. We also have 100% compliance with our tailings monitoring program. So all the investments that were made in the past really help us to stand out in terms of one of the safest tailings infrastructures in the world. We also have a very big highlight, 99% water reusage rate at Bloom Lake. So again, we've invested to be able to protect the environment, and we're a leader also in terms of water reusage. And the final highlight is that we managed to reduce by about 8.7% our GHG emissions year-over-year. In terms of operations, and when we look at the iron ore price, so you've seen that it's been pretty volatile in fiscal year 2024. But when you look at the sort of average for the year, it's been pretty healthy in terms of iron ore price. So we saw a dip in Q4, but we since seen the price recover if you look at the past two weeks. In terms of freight, there has been some impact due to the Red Sea, and the conflicts in the Middle East, but we've also seen the C3 index stabilized today in the orders of about $23, $24 per ton. In terms of opportunities at Bloom Lake, so, as you know, one of the main challenges we have is to work with the rail operator so that we can match our production with the logistics and also start bringing down our stockpile. Today, our stockpile lies at about 2.7 million tons at the site, continuing to work with the rail operator to be able to not only match our production but start bringing down those tons. Happy to report that the first train conductors will come into the project as of June of this year. The second group comes into August. So as of June, we should be in a position to match the production with the capacity, and as of August, we should be in a position to start bringing down tons from our stockpile, as we had mentioned at the January meeting. So again, a little bit disappointing in terms of the performance of the rail operator, but realistically, I think we're on the right track to be able to solve that issue and put that behind us. In terms of quarterly production, roughly about 3.3 million tons, and that allowed us to have a full year of 14.2 million tons, which is roughly about 95% of our nameplate capacity. If we look at the operations a little bit more in detail, one of the highlights is we have increased our strip ratio, so the mine is healthy, and we have moved about 0.69 is our strip ratio during the year -- sorry, during the quarter, and we moved about 6.5 million tons of waste during the quarter. So again, following the mine plan and the mine is in a very healthy position right now. In terms of financial highlights. So for the quarter, about CAD330 million in revenues for the full year, CAD1.5 billion, which allow us to have CAD85 million of EBITDA during the quarter and just over CAD550 million of EBITDA for the full year. In terms of cash costs, so you've seen it increase slightly during the quarter. We were on a good trend, bringing down our operating costs as we were ramping up the project. As you've seen during the past quarter, the main elements that impacted our cash costs was one, the lower production. So the main area for us to reduce our costs is to have the right production during the quarter. Second element was the two major shutdowns. And if you remember Q3 of fiscal year 2024, we delivered a run rate of roughly about 16 million tons per year, but we had quite a lot of equipment that we pushed to sort of its maximum that we had to repair during the fourth quarter. That was to be expected. If we want to debottleneck the facilities, we need to understand what equipment we need to work on and when that equipment fails so we had a lot of run to fail strategy for pumps, for pipes, for conveyors, for various elements at the plant. So this quarter, we had two major shutdowns, and also had quite a lot of downtime that was unplanned. But that allowed us to be able to pinpoint the different elements that we need to work on to debottleneck the site. We're currently working on those right now, and in the coming quarters, we should start seeing improvements in terms of our nameplate capacity. And our target eventually is to be able to debottleneck between 17 million tons and 18 million tons per year. If we look at provisional price adjustment. So if we go back to the 31 of December 2023, we had forecasted to settle 1.8 million tons that was still on the water at roughly about CAD150 per ton, and we settled those tons at about CAD136. So the delta of about $13 per ton for the 1.8 million tons that were on the water had a negative impact of about CAD24 million. If you divide that by the 3 million tons that were sold during the quarter has an impact of about $8 per ton. On the flip side, when you look at the 31st of March, we had forecasted to settle the next 1.8 million tons that was still in transit at about CAD113 per ton. But you've seen in the past weeks that the price has recovered and we should be able to see a positive provisional price adjustment in the current quarter. If we look at the net realized price, so you can see that our gross realized price was lower than the P65 index during the quarter. This is not due to the fact that we're getting discounts for our -- significant discounts for our material or because we have lower quality. We still maintain the high quality and still sell our tons at a premium. But the 1.8 million tons that were still in transit that we had to book at the end of the quarter at $113 had a negative impact for our average during the quarter. But as we mentioned, that should reverse in the next quarter as we potentially have a positive provisional price adjustment. In terms of cash, well, we increased slightly the cash during the quarter by about CAD13 million, and continue to invest in our flotation plant, investing about CAD35 million. If you look at our balance sheet, we're still in a very good position to be able to continue our flotation plant. We're in a net cash position of about CAD56 million. And when you look at our balance sheet and the projects that we have in line, well, it allowed us to declare six consecutive semiannual dividend of CAD0.10 per share. If we turn to our growth projects, so the main focus for us right now is obviously the flotation plan that we're working on, also continuing to speak with various groups to be able to bring in a partner for the Kami project. There's been quite a lot of interest from different strategic groups so continuing our discussions on that and also starting the permitting process for the Kami project here in Newfoundland. So very happy to announce that we're continuing on that project. No significant CapEx to be invested in the next two years as we go towards the permitting. But again, do feel that this is one of the best resources in the world to produce DR-grade material in the future. The second project, apart from the DR flotation plant that we're working on right now is bringing Bloom Lake over 15 million tons per year. So as you know, in the past quarter, we saw a little bit of noise in terms of reliability and us repairing various equipment. But as we do that, we should be in a track in the coming quarters to be able to increase our nameplate capacity beyond the 15 million tons per year. If we look at our flotation plant, happy to report that we're still on track to deliver the project on time and on budget. We spent now about CAD95 million, and we still have roughly about CAD375 million to invest to be able to deliver the project in the second half of 2025. The other highlight is that we are continuing our discussions with various potential clients to be able to position that material with the right type of clients that are, as we had mentioned in the past, closer to home to minimize our impact on shipping. I think it's very well timed because when we look at the market, we're starting to plot on the world map all the different projects that are being worked on for new DRI facilities to be able to service the electric art furnaces. And we can see that there's over 160 million tons of DR-quality iron ore that will be required to supply what has been announced now in terms of DRI capacity. So we see that the bulk of that is going to be in Europe and Middle East, which is where we're spending most of our time discussing with various clients to be able to position our material for the future. So we do think that investing in this flotation plant is where we need to go. That's where we're going to benefit, potentially from the highest premiums for our type of material. And what's interesting is yet again, when we look at the end of this quarter, well, we don't see any projects being announced to be able to produce or to fill in that gap of 160 million tons of DR quality iron ore. So we're very well positioned with what we're doing at Bloom Lake to be able to service that and fully benefit from the premiums in the future. That being said, well, I'd like to thank our staff for making all these results possible for another great year, fiscal year 2024, and ramping up fully towards, not only our nameplate capacity but also over our nameplate capacity. That being said, I'll turn it over to the Q&A portion of the call.
Operator: [Operator Instructions] And your first question comes from the line of Orest Wowkodaw with Scotiabank. Please go ahead.
Orest Wowkodaw: Hi. Good morning, David. Just a clarification on one of your comments earlier. Did I understand correctly that you were saying that Bloom Lake is still operating below the nameplate of about 3.7 million tons per quarter because you're still basically fixing from what happened a quarter ago
David Cataford: Yes. Basically, what we -- what I said, and sorry if it wasn't positioned clearly, but it was more on the logistics side, where we felt that was -- there was still a mismatch between what they can bring down and what we can deliver towards the port.
Orest Wowkodaw: Okay. So Bloom Lake is producing at back at back -- producing at full run rate. You just can't ship it.
David Cataford: Yes. Well, order magnitude, we're pretty close now between what we can produce and what is being shipped, but still not to the full level, correct.
Orest Wowkodaw: Okay. And then your comments about the shipping, did I hear you correct that you don't expect to destock until August
David Cataford: Correct.
Orest Wowkodaw: Okay. How many quarters do you think, say, beginning August I mean, how many quarters do you think it's going to take to drive down that 2.7 million tons of inventory
David Cataford: Yes. There's quite a lot of things up in the air. So when you look at that rail right now, you have to core that's operating or that's bringing down tons, you have IOC, ourselves, and during the summer months, there's also TADA. So depending on the performance of the other groups, that can potentially benefit us to bring down more tons quickly with the new rail operators that are coming in June, and then in August, we do feel that potentially we'll be able to bring down more tons even than what is being forecasted. So when we look all in all to bring down the full 2.7 million tons, we had said in the past roughly about a year and a half would be the timeframe to be able to bring it down, but there is some potential upside scenarios if we can deliver quicker than what is being forecasted. But again, it's something that's outside of our control. We try to put as much effort and time in working with the rail operator, but as you know, it's been a pretty annoying journey for us having to deal with that portion.
Orest Wowkodaw: Okay. But the base case is about a year and a half starting August.
David Cataford: Correct.
Orest Wowkodaw: Okay. Thank you.
Operator: And your next question comes from the line of Lucas Pipes with B. Riley. Please go ahead.
Lucas Pipes: Thank you very much, operator. Good morning, everyone. And David, not sure, if I caught you right there in your prepared remarks, but you say you're looking at 17 million tons, 18 million tons of capacity post-debottlenecking projects.
David Cataford: Correct.
Lucas Pipes: And is that a nameplate capacity, or is that the level at which you would expect to kind of operate And how quickly do you think you'd get there
David Cataford: Yes. I'm not too sure the difference is, sorry, Lucas, on is it a nameplate or what we expect to produce. But realistically, once we start doing those debottlenecking projects, our average head grade at the mine is pretty stable so that doesn't change. Our recovery should be pretty stable as well going forward as we continue to improve it. So when we look at the debottlenecking portion, that's where -- we don't have the fixed number yet because we're still in engineering to see the exact elements that need to be modified and how they can be modified, but we do expect to be in the future between 17 million tons and 18 million tons, correct.
Lucas Pipes: That's helpful. Two follow-ups there. How quickly would you be able to get to that level And then any impacts on the cost side, call it fixed cost absorption or things like that, that could maybe help Thank you.
David Cataford: Yes. It's going to be a gradual sort of increase. So there's some elements that are easier than others. As we had mentioned in January, we've already ordered some mining equipment to be able to increase the capacity at the mine that should be delivered by the end of this calendar year. So as that comes in, we should be able to increase a portion of the production sort of target. Then when you look at the coming sort of two to three years, that's when we believe we'll be able to have done most of the modifications to get us between that 17 million tons to 18 million tons.
Lucas Pipes: That is very helpful. And I assume you have confidence that the rail will keep pace with that as well.
David Cataford: Yes. I'm confident that the rail can deliver for sure. We need to work with the rail operator to make sure that they actually get there. But the rail itself can handle about 80 million tons per year so there's no reason why that could not be done. But as you can imagine, it's something we'll follow much more closely because it hasn't been delivering as it should have in the past.
Lucas Pipes: Very helpful. Thank you, David. And then switching topics real quick to Kami. You mentioned you're in good conversations with a couple of strategic groups. Could you maybe give us a flavor for what sort of groups those are I'd assume they are still makers, but maybe you can elaborate and point to specific region size of the potential partners just that I would appreciate anything you could round out there. Thank you.
David Cataford: Yes. Thanks for the question, Lucas. So when we look at potential groups, for us, what makes the most sense is to align ourselves either with a group from Japan, Middle East, or from Europe. So they're the three markets that we feel make the most sense for us. They're markets that need to be decarbonized, that want to invest and are already investing in DRI and electric guard furnaces. And there Japan may be a little bit far, but there is potential, even with Japanese, as you've seen in the various press releases in the past year that they are also starting to invest in the Middle East to be able to do DRI production. So there's potential alignment there. So it has to be a large steelmaker and that operates in one of those regions there.
Lucas Pipes: And would you expect to have one partner or maybe multiple
David Cataford: With the size of partners that we're discussing with it would potentially be one partner.
Lucas Pipes: Excellent. All right. Well, we really appreciate the detail. Keep up the good work and best of luck.
David Cataford: Yes. Thank you. Thank you, Lucas.
Operator: Thank you. And your next question comes from the line of Gordon Lawson with Paradigm Capital. Please go ahead.
Gordon Lawson: Hi, good morning. Thank you very much. Can you provide some color on the light premiums in the quarter, what you're seeing in the current quarter, what you expect for fiscal '25
David Cataford: Yes. Thanks for the question, Gordon. So when we look at the premiums you've seen -- even if there has been no environmental restrictions in China and Europe has not recovered fully, we still saw the premiums for the high-grade increase in the past few weeks. So not to the historical level that we've seen, that is sort of low 20s, but we have seen it high teens in the past few weeks, which is a slight improvement from where we were before. But when we look at it, it's very tough to forecast what's coming next. But what's interesting is, as we've seen every time the iron ore price dips below CAD100 in the past two years while it's recovered pretty quickly. So we feel that the iron ore price is well positioned right now, and we do see some potential upside scenario on the premium for the high grade.
Gordon Lawson: Okay. Thank you very much. And back to the stockpile. Are there any considerations to expanding your rail fleet, including the possibility of another locomotive
David Cataford: Yes. So IOC have got three locos that have been ordered so that's going to be delivered in the coming months. We've also purchased quite a lot of new railcars, which was not necessarily required for the current production, but it's going to add also some flexibility. They'll start being delivered in October of this year, and it's also going to help as we debottleneck the project. But as you can imagine with the railcars, they don't all get delivered at once so that's going to be a gradual delivery over a few quarters starting in October of this year.
Gordon Lawson: Okay. Thank you very much. Appreciate it.
David Cataford: Thank you, Gordon.
Operator: Your next question comes from the line of Craig Hutchison with TD Securities. Please go ahead.
Craig Hutchison: Hi. Good morning, guys. Just on the Kami project. I think you mentioned that you don't anticipate spending any CapEx for the next couple of years. Is that the duration you anticipate for the updated permits about a two-year process
David Cataford: Yes. We'd say -- thanks for the question, Craig. We'd say about two years for the permitting process and that should leave us enough time to also secure the partner, finalize the agreements there, and then be able to see the next steps once we're in 2026. And I think that's a pretty good year to be able to evaluate a project like Kami. Right now, if you remember, the economics were maybe a little bit underwhelming, but when you look at what can happen in the next two years, with the potential list of critical minerals here on the federal side and the discussions also with the Newfoundland government, and also the delivery of most of the DRI and EAFs in the next two years, we should have a better view on the pricing mechanism for DR pellet feed and also the various economic improvements that we can have on the federal and provincial side.
Craig Hutchison: Okay, great. Just -- I was going to -- my follow-up question was going to be just on sort of price discovery on DR pellet feed. Is there any kind of indications you guys have had in terms of what that might be Over the last sort of year discussions you've had, I think the premium you guys assumed was somewhere in the range of an additional CAD30 a ton on top of the CAD65. Is that still sort of the case, or do you think it could be higher Or any kind of color you could provide on that would be great.
David Cataford: Yes. Thanks for the question, Craig. So as we've done in the past, what we're trying to do is really link proper formulas in terms of the pricing mechanisms, and what we want to make sure is that we link those towards the DR pellet premiums. We want to slowly move away from the P65. We don't know what will happen to that index once projects like Simandou get delivered. And we do feel that our material is going to be sort of in a subclass of its own. It's a unique product that will be used for DRI for electric art furnaces when groups want to produce high-quality steel. So for us, we want to make sure that we link all of those pricing mechanisms to the DR pellet, and discussions up to now with various clients have been very successful in terms of having that sort of mechanism put in place.
Craig Hutchison: Great. Thanks, guys.
David Cataford: Thanks, Craig.
Operator: Your next question comes from the line of Stefan Ioannou with Cormark Securities. Please go ahead.
Stefan Ioannou: Yes. Thanks very much, guys. Just maybe just on Kami, again. I'm just curious again mentioning it's sort of probably a two-year-ish time horizon to permits. Just when we think about advancing the potential partnership negotiations is that something then that dovetails with the receipt of permits Or do you think we see a partner firmed up well before that
David Cataford: Well, we have groups that are extremely interested in the project. So I would -- you can never be sure. But right now, if things continue at the speed they are, I'd be confident that we'd be able to have a partnership before the permitting process. But then again, there's quite a lot of variables that are there, but again, there's quite a lot of interest. And if we maintain the sort of speed of discussions right now then there is a possibility we could align with a partner pre permits.
Stefan Ioannou: Okay. Okay, great. Thanks very much, guys.
Operator: And your next question comes from the line of Brian MacArthur with Raymond James. Please go ahead.
Brian MacArthur: Good morning, and thank you for taking my question. Just going back to Lucas's question. And when you expand Bloom Lake to 17 million tons to 18 million tons, and you're confident that the railway will be there, it has been iffy up to now. What actually -- and you talked about 18 million tons of capacity, but what actually has to be done to get those extra 3 million tons Does somebody else have to order some locomotives Are you in control of all the rolling stock you need What actually has to be done to sort of guarantee that you'll be able to move 18 million tons at that time
David Cataford: Yes. Unfortunately, -- thanks for your question, Brian. But unfortunately, as you know, we're not in control right now. But then again, when you look at the -- at what has to be done, it's mainly track availability, a little bit of locomotives and train operators. We're obviously going to manage this differently for the increase in tonnage because we -- when we signed the contract with operator, we thought they would be able to deliver on what they said, which did not happen so we're going to monitor that very closely once we sign a potential contract for the extra tons. But again, if we go back just a few years, we had signed a contract for 7.5 million tons, and we had produced 8 million tons pretty constantly, and there was never any issues on that rail. So they were able to take the extra tonnage. I think this is the first time that the rail operator has been stressed in terms of the actual operations of the rail. But what we definitely, need to do is work on the efficiencies of that rail. We don't believe there's quite a lot of CapEx that's required to double-track any portions to get to that full 18 million tons. We just believe it's better efficiency, a bit more locos, and a bit more train operators.
Brian MacArthur: Great. Thanks very much. That's very helpful.
David Cataford: Thank you, Brian.
Operator: [Operator Instructions] And I'm showing no further questions at this time. I would like to turn it back to Michael O'Keeffe for closing remarks.
Michael O'Keeffe: Thank you, operator, and thank you, everyone, for attending the call. So it's harder for me to do summaries these days because David covers so much. A few years ago, I used to be able to pick some gaps ever now and then and make comments and add value to the conversation. But I did notice though that if anyone has read the train book called Tootle, it wasn't the conductors that they were trained up to ride the trains a little bit. Conductor wasn't doing that. And I noticed they always took their conductors. Maybe that's the problem. But anyway, seriously, we are training up -- the operators are training up the train drivers, and our big issue is that when we've ever dealt with infrastructure, it's always areas outside of our control that have caused the problems. And that was so with the port, and we've taken more control of the port now as we get Quebec government. David is on that board. And if anyone has seen the port when we took it over in 2017, and now it's gone from -- beaten up old car to a Rolls Royce so -- and that's been a huge effort. But if I reflect back and look at what's happened in infrastructure since we gained control of the feasibility study and brought on Phase I in 2018, we've been in a continuous area of construction. It's Phase I up and running then Phase II up and running now, and the massive amount of civil work that was done on the tailings dam. You know, our COO, Alex has been up there so much of the time, and I think he'll become bored if there wasn't a new project. But there's plenty of those happening in the form of the concentrator and the high grade, which puts us into a whole different category of the 69% FE coming out of that material, which is going to be obviously, feed for the electric arc furnaces. And just recently, Mr. Marcotte and myself were in LA and also with the Bank of America conference in Miami. And at that conference, all the big boys sitting up there Jackson, Rio, et cetera, et cetera, and they all -- their opening subjects was how we're going to decarbonize the steel industry with green steel. And it was very interesting to reflect on that because, you know, everyone is now talking about microwaves and how that's going to be the answer to the business. I listened to a podcast on that which was interviewing the people at Rio who are the main proponents for this and the university in the United Kingdom. And look, there's some very smart people at Rio, and maybe they should be on the rail. But anyway, the -- my point is this is that even they have been able to produce a probably two gram ingot from this microwaving, 2 grams. So the next stage is a pilot plant. They still haven't uncovered a vessel that you could use for this conversion process, and they even say they're decades away from it. But you've got the CEO of these companies standing up, they're saying that, yes it's imminent, and probably Fortescue is probably the most because we had a lot of people coming to us on these one-on-one meetings saying that the answer is there. And -- well, let me tell you the answer is not there and it's decades away. So -- and even the people that are working on it are saying the same thing. So If you take that and then put simply what we're doing here is we're taking the ore from the ground at 30% iron content, upgrading it to 69%. Now the interesting thing for me is David talking about how we want to get away from the indexes. And the only way you're going to do that is if you've got a quality product that allows you to do that, and that's what we'll have so. And progress is always being made on that because we don't want to be going forward every time the index of the 62% drops, the 65% drops, and then hence the gap between the premium for the 69% will drop. So we're on the move on that process and that will be a game changer. But if you just reflect today on the numbers and said, okay, we're earning CAD0.5 billions -- CAD600 million EBITDA a year, in a reasonable year, it can be higher, I mean, obviously, when the iron ore rates are higher. But if you just take 69% today and say, well, there's a CAD27 premium above what we've got for the 65%, and you know, these tons will be moved into jurisdictions and it's not as far to ship like China, I mean, you -- there's CAD10 freight differential. So CAD37 on that, and then you have the two lines up and running, you can just -- you can do the numbers on the EBITDA, and they're serious numbers. So -- and this is pie in the sky, either this is going to happen. We're recommissioning in the first stage of the 7.5 million tons Stage II in 2025 -- second half of 2025, and we're shipping the tons out. So it's happening. It's happening before our eyes and interesting talking to people. It hasn't hit home. It hasn't resonated. But what as David correctly points out is that the people that are developing the electric arc furnaces know exactly what's happening and that's why we're having so many regular visits. But I've got no doubt that the future is in green steel. And remember, we also have energies from hydro, so it puts us in a very strong position. Now, just if you take that and look at Kami, and I know David has given you a good summary on Kami, but if I just sit back and look at it and say, okay, well, we are -- people are coming in, people are interested in wanting to help us develop that because they need the feed. Now, if you start attributing some of these values that we're talking about for the end product back into Kami, I mean, it's a totally different project and people pay today at the numbers. So imagine what it's like if we have this iron ore as a critical mineral, the tax implications for us on that and -- but also the value of this material. So I'm very confident that that's the longer term for us, but near term is imminent and that's we're talking 2025. And as shareholders, I think you'll be happy to hear what's going on in the Company. The fact that we have delivered every project on time, on budget. The only thing that's caused us issues are people that operate outside of our control. So -- we'll get on top of that and -- by persistence and negotiations with the parties, and that will be a handsome outcome for everyone. So thank you all for your support and look forward to talking again soon.
Operator: Thank you. And ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.